Operator: Good afternoon, everyone, and welcome to the Deciphera Pharmaceuticals Fourth Quarter and Full Year 2020 Financial Results Conference Call. Today's call is being recorded. At this time, I would now like to turn the call over to Jen Robinson, Vice President, Investor Relations. Jen?
Jen Robinson: Welcome and thank you for joining us today to discuss the Deciphera's fourth quarter and full year 2020 financial results. I'm Jen Robinson, Vice President, Investor Relations, at Deciphera. With me this afternoon to discuss the financial results and provide a general corporate update are Steve Hoerter, President and Chief Executive Officer; Dan Martin, Chief Commercial Officer; Matt Sherman, Chief Medical Officer; and Tucker Kelly, Chief Financial Officer.
Steven Hoerter: Thank you, Jen. Good afternoon, everyone, and thank you for joining us on today's call. The fourth quarter capsule landmark year for Deciphera in which we launched our first medicine QINLOCK reported encouraging data from the product candidates in our pipeline and filed the IND for a new product candidate entering the clinic this year. This progress would have been impressive in any year, but I'm particularly proud of our team for accomplishing all this in the midst of the ongoing COVID-19 pandemic. The team here at Deciphera adapted quickly, and as a result of their hard work, dedication and patient focus, we achieved the ambitious goals we outlined at the beginning of 2020. This work positions as well for 2021 as we seek to expand the opportunity with QINLOCK and set the stage for our next wave of growth. For QINLOCK, we have three specific priorities in 2021. First, we are continuing to execute on the successful launch of QINLOCK for the treatment of patients with fourth-line gastrointestinal stromal tumors or GIST in the United States. QINLOCK has the potential to change the treatment of advanced GIST, and we have made great progress in delivering this important new medicine to eligible patients in the fourth-line setting. Dan Martin, our Chief Commercial Officer, will share the commercial highlights from the fourth quarter in a few minutes.
Daniel Martin: Thank you, Steve. Good afternoon. Today, I'm pleased to report the results of our second full quarter of QINLOCK sales and to provide some color regarding our expectations as we look ahead. We continue to be extremely pleased with the QINLOCK launch and with our rapid penetration of the fourth-line opportunity. In Q4, we achieved $19.5 million in total net product revenue, including $18.5 million in the U.S., which equates to 26% quarter-over-quarter growth and brings total launch to date U.S. net product revenue to $38 million. Prior to the U.S. launch of QINLOCK, we identified two primary goals. The first was to rapidly establish QINLOCK as the clear standard-of-care in fourth-line GIST. The second was to leverage our approved indication to build a strong foundation for a potential second-line launch by establishing a broad and diverse prescriber base and by achieving positive product perceptions among QINLOCK users. Based on our strong launch results and multiple key performance metrics, we believe we have made tremendous progress toward these goals since launch. Our recent market research indicates that during Q4, our sales and marketing teams achieved the highest prescriber reach and product share of voice among all companies in the GIST market. In addition, this research showed that despite the challenges of the pandemic, we have rapidly increased awareness of QINLOCK over the last two quarters. In fact, among physicians treating late line GIST patients, awareness of QINLOCK was similar to that of established products that have been approved for the treatment of GIST for many years. Our commercialization efforts resulted in rapid uptake by a broad and diverse prescriber base. We estimate that from launch through Q4 over 350 prescribers from more than 300 institutions are prescribed QINLOCK. During Q4, as expected, slightly more than half of both new and total prescribers came from the community setting. Conversely, slightly more than half of total patients treated during the quarter came from the academic setting, which highlights the fact that the number of patients per physician is higher in the academic setting, consistent with our pre-launch understanding. To date nearly all of our highest priority accounts and physicians, irrespective of practice setting have either prescribed QINLOCK or have identified patients for future QINLOCK treatment when those patients progressed to the fourth-line.
Matthew Sherman: Thank you, Dan. We continue to make great strides across our growing pipeline of novels switch control kinase inhibitors. Let me start with QINLOCK. At the end of last year, we completed enrollment in our Phase 3 INTRIGUE study investigating QINLOCK patients with second-line GIST remain confident in the likelihood of success in this pivotal study. The preclinical profile of QINLOCK demonstrates that has broadly inhibits KIT mutations that drive the disease across all lines of therapy. In addition, we have a strong clinical data package, not only with the exceptional results from the Phase 3 INTRIGUE study in fourth-line plus patients, but also the compelling results in the Phase 1 study, showing the clinical efficacy continues to improve in patients with second-line for fourth-line plus GIST. We believe that QINLOCK may provide significant benefits to GIST patients in the second-line setting and look forward to reporting top line data from the INTRIGUE study, which we project to readout in the second half of this year. Turning to Vimseltinib, our potent selective inhibitor of CSF1R in development for the treatment of tenosynovial giant cell tumor or TGCT. Patients with TGCT experienced significant disease burden in commonly report multiple symptoms, including pain, limited function, swelling and stiffness. The only approved systemic therapy for patients with TGCT is pexidartinib, which has a box warning and it's subject to a REMS program due to hepatotoxicity an adverse event that is thought to be an off target effect. We believe that vimseltinib has the potential to be best-in-class and to fulfill the unmet medical need for an effective and well tolerated treatment for patients with TGCT. At the Connective Tissue Oncology Society meeting last year, we presented encouraging preliminary results from the ongoing Phase 1/2 study of vimseltinib in patients with TGCT. The trial is progressing well, and we look forward to sharing additional data updates from this study and are planning to finalize and unveiled our pivotal development plans later this year. Training to Rebastinib, our potentially first-in-class potent and selective inhibitor of the TIE2 kinase. We are very encouraged by the initial clinical data we presented last year from both the endometrial and platinum resistant ovarian cancer cohorts in our Phase 1b/2 study in combination with paclitaxel. We have reached full enrollment for these cohorts and are continuing to enroll patients in stage one of the carcinoma sarcoma and inflammatory breast cancer cohorts. And the other Phase 1b/2 study in combination with carboplatin enrollment in part two stage one of platinum sensitive ovarian cancer cohort has been completed and efficacy and safety evaluation is ongoing.
Tucker Kelly: Thanks, Matt. I'd like to review the highlights for our fourth quarter and full year 2020 financial results. Total revenue for the fourth quarter was $19.5 million, which includes $18.5 million in U.S. net product sales. Consistent with the third quarter, the gross to net adjustment in the fourth quarter was slightly lower than our annualized estimate at 15%. Total revenue for the full year was $42.1 million comprised of net product sales of $39.5 million, including $38 million in U.S. net product sales, as well as approximately $2.6 million in collaboration revenue. Cost of sales for the three to 12 months ending December 31, 2020 was immaterial, as the majority of the manufacturing costs related to QINLOCK sales would incur prior to FDA approval and thus were recorded as R&D expense. Until the initial pre-launch inventory is depleted and additional inventory is manufactured and sold, cost of sales will not be significant, and we expect the cost of sales will remain immaterial in 2021. Total operating expenses were $82.5 million in the fourth quarter of 2020 compared to total operating expenses of $70.4 million in the same period in 2019. For the full year 2020, total operating expenses were $313.3 million compared to total operating expenses of $225.7 million in 2019. Research and development expenses in the fourth quarter were $52.3 million compared to $46.6 million in the same period in 2019. For the full year 2020, R&D expenses were $199 million compared to the $157.6 million in 2019. Selling, general and administrative expenses in the fourth quarter were $30.1 million compared to $23.7 million in the same period in 2019. And for the full year 2020, SG&A expenses were $114.1 million compared with $68.1 million in 2019. We continue to expect that our operating expenses will increase in 2021 as compared to 2020, as we invest in the development of our clinical pipeline, continue to execute on the commercial launch of QINLOCK in U.S. and prepare for a potential commercial launch in Europe. We ended the fourth quarter in a strong financial position and remain well capitalized with cash, cash equivalents, and marketable securities of approximately $561 million, which we expect will be sufficient to fund our operations into the second half of 2022. And with that, I'll now turn the call back over to Steve.
Steven Hoerter: Thank you, Tucker. I'm extremely proud of what our team accomplished in 2020, and we expect 2021 to be a year with significant milestones. We look forward to building upon the momentum of the QINLOCK launch by solidifying its position among GIST prescribers and patients in the U.S., while also taking the regulatory and commercial steps necessary to bring QINLOCK to patients with advanced GIST around the world. On the clinical development front, we expect the readout of the pivotal Phase 3 INTRIGUE study to potentially expand QINLOCK into the larger second-line GIST population. And we expect significant clinical updates on two programs that could support advancement into registration enabling studies. Finally, we look forward to initiating the first inhuman study for a potential first-in-class product candidate addressing one of the largest unmet needs in oncology. We believe 2021 will be another exciting year in our company's journey to bring important new medicines to patients. Operator, I'd now like to open the call for Q&A.
Operator: Thank you.  Our first question will come from line of Jessica Fye with JPMorgan. You may begin.
Jessica Fye: Hey, guys. Good afternoon. Thanks so much for taking my question. I was hoping you could elaborate a little bit on the comment you made about future quarter-to-quarter growth moderating and being determined by patient persistency. Is that moderating growth? You alluded to the results of substantially penetrating the incident or flying GIST opportunity. Where do you think you are in terms of penetration of this setting?
Steven Hoerter: Yeah. Hi, Jess. It's Steve. Just before I turn it over to Dan, he can provide some color, I think as we said in the prepared remarks, we're really pleased with how the launch has gone so far and that we've really rapidly established QINLOCK as the standard-of-care in the fourth-line setting. And as Dan noted in his prepared remarks, we do expect growth to moderate going forward. But Dan, would you like to provide some more color on that.
Daniel Martin: Sure. Absolutely. Thanks Jess for the questions. Yeah. A couple of questions there. So, if I don't quite hit on everything, just let me know. So, when we talk about the phrase growth will moderate, like Steve said, we've just been extremely pleased with the performance of the team, the ability to rapidly penetrate the fourth-line patient population, despite the challenges of the pandemic. And as Steve mentioned, it is clear that we have established QINLOCK as the clear standard-of-care in fourth-line GIST across both academic and community settings. And therefore, while we achieved 26% quarter-over-quarter growth in Q4, we would expect quarter-over-quarter growth to slow. And the point about -- to slow until we achieve the second-line expansion pending approval and the point that we made about the persistency is that we're about seven plus months, I guess, two quarters into launch. And so, as we've mentioned -- previously on previous calls, that data is still maturing. So, we'll be bringing -- we plan to bring forward some additional color on persistency as we move forward, but that'll be really important to see how that develops in the real-world setting. A number -- any number of things could impact how persistency develops in the real-world setting, including efficacy, tolerability, patient mix is important both by line of therapy and by performance status. And then, there's also non-clinical considerations, such as the cumulative, emotional, financial and administrative burdens on the patient during their cancer journey. So, these are the things that we'll look to see how they play out and impact persistency over time in the real-world setting.
Jessica Fye: Got it. Thanks for that. And maybe just one more. If you could elaborate on the useful -- helpful data about sort of the number of prescribers and the mix there. I'm curious how many prescribers have written QINLOCK to more than one patient.
Daniel Martin: Yeah. That's a good question. I don't have that figure off the top of my head. There's certainly a good portion that have written for more than one patient, but there is a significant number of our prescribers who have only written for one, because they've only had one. Keep in mind that as we've described, these patients are rare in general, late line GIST patients and particularly outside of the academic setting, they're extremely rare and very sort of diffused and thinly dispersed. So a significant portion of our prescriber base would have only prescribed one because that's how many patients they've had so far.
Jessica Fye: Okay. Makes sense. Thank you.
Operator: Thank you. Our next question comes from the line of Chris Raymond from Piper Sandler. Your line is open.
Allison Bratzel: Hi. This is Allison Bratzel on for Chris this afternoon. Thanks for taking the question. So, one just on earlier line use, I guess just some of our GIST survey work has indicated that most cannot use is on labeled and fourth-line plus patients, but there is some detectable use in earlier line patients, particularly among docs and academic setting. So, just wondering if you had any color on that dynamic now that you're a couple quarters into launch. So just -- could you talk to that? And if earlier line use could -- can be contributing to growth throughout 2021.
Steven Hoerter: Yeah. Thanks for the question, Allison. I will let Dan to take that. Dan?
Daniel Martin: Yeah. Thank you, Allison. It’s a good question. We did see the survey that you guys did. Generally speaking, we thought it was relatively consistent thematically with what we've said before and what we saw in Q4. We've said before that, while it's challenging to assess with certainty the use by line of therapy when we sort of triangulate with the available data sources we have, we feel strongly that the significant majority of use that we've seen is in the fourth-line setting, consistent with label. And there has been some earlier line use, but again, significant majority in the fourth-line. And we've said before that, it's tough to know what the future holds. What we do know is that, there's a lot of things that drive use in the real-world setting. Of course, there's availability of data we can't promote, of course, to any of that earlier line data, I probably should have started with my typical disclaimer that we always -- all of our promotion, all of our commercial efforts are targeted toward our labeled indication. And so, it's -- what's in the label, what's in payer policies, what's in guidelines. And to this point, most of all of that is aligned pretty consistently to our approved indications. So hard to say. But that's why we've provided the color we've around, significantly penetrating the fourth-line opportunity, rapidly. And that we think as a result of that growth is likely to moderate quarter-over-quarter moving forward until we reach the second-line setting pending approval.
Allison Bratzel: That makes sense. And maybe just one more -- a follow-up from, I think last quarter you had indicated that there might be a little bit of the ID dosing, especially based on the data you had last year ESMO showing interpatient dose escalation, supportive of treatment past progression. So, just hoping you could talk to any updates on those trends and maybe where -- or how you're thinking about that strategically in terms of getting that data perhaps added to the label or NCCN guidelines and how that plays into the longer term QINLOCK GIST strategy. Thanks.
Steven Hoerter: So maybe what I'll do first, Allison, is just comment on the BID data and then ask Dan to talk a little bit about what we actually see in the marketplace and what sort of things would need to happen for that sort of use to be more common despite the fact that, of course, we can't promote to it. So, as you referenced it ESMO last year we reported data from the Phase 1 study. And in the Phase 1 study physicians had the opportunity to dose escalate patients to 150 BID upon progression. And as we shared it ESMO last year, the data that we see in PFS2. So the second progression free survival interval is really quite compelling relative to the PFS1 that patients experienced on the study. In the INVICTUS study, so this study that serves as the basis for our approval, a similar approach was allowed where physicians were able to dose escalate their patients to 150 BID, and we're still analyzing those data, but we anticipate being able to present those in the context of a medical meeting at some point in the future. So, we think this is a meaningful finding. We don't view either set of data as being labeled enabling, and maybe Dan, you want to comment just on what we're seeing commercially and what sort of factors would play into the ability of physicians to use this, despite the fact that they can't promote to it.
Daniel Martin: Yeah. Absolutely. Thank you. Steve, it's a good question. And we've -- we continue to see -- or I should say we continue to see in Q4 what we've spoke to spoken to before, which is we have seen some BID dosing, but it's been a small portion of the overall use, a large majority of our uses of the 150 QD labeled indication. And the same drivers really impact a, off label dose -- the driving off label dataset -- use. Number one, we don't promote the BID data. We're limited of course, to promoting our labeled dose. And then guidelines and payer policies, which to this point continue to be aligned with our labeled dose. So, it's not a surprise to us, given those considerations that the large majority of use is consistent with the 150 QD.
Allison Bratzel: Got it. Thank you.
Operator: And our next question comes from Michael Schmidt from Guggenheim. Your line is open.
Michael Schmidt: Hey, guys. Good afternoon. Thanks for taking my questions. I had a pipeline question about DCC-3116. I may have missed it, but if you -- could you remind us what the patient population will be in the initial Phase 1 study? Is it in all commerce, or will they be already selected for certain RAS pathway mutation?
Steven Hoerter: Yeah. Hi, Michael. It’s Steve. Thanks for the question. Matt, would you like to take that?
Matthew Sherman: Yes. Hi, thanks for the question. Yeah. So in the first inhuman studying for a DCC-3116, which is our novel first-in-class autophagy inhibitor. The survey conducted as a two-part study. So the first part will be a dose escalation part of this study, and that will be in all kinds of solid tumors, but they will be selected for a mutation in the B-RAF RAS pathway. And that will be followed by a second part of this study will be selecting homogeneous patients with specific tumors. So pancreatic ductal carcinoma, non-small cell lung cancer, colorectal cancer, and melanoma, and those patients will also be RAS or B-RAF mutation positive.
Michael Schmidt: Understood. And then mechanistically, is this a drug that might have single aging activity? Or should we really think about this as a combination drug with other RAS pathway inhibitors?
Steven Hoerter: So we believe that this drug would be best developed in combination with other signaling pathway inhibitors and initially targeting the RAS MAP kinase pathway.
Michael Schmidt: Okay. That makes sense. Thanks so much and congrats on the progress.
Operator: Thank you. Our next question will come from the line of Eun Yang from Jefferies. You may begin.
Eun Yang: Thank you. So, the -- regarding ripretinib aside from GIST, you have orphan drug designation for other solid tumors, like a GBM and astrocytoma. And in Phase 1 expansion cohort you have or have been enrolling multiple tumor types. So can you give us an update on other solid tumors aside from GIST?
Steven Hoerter: Yeah. Eun, it’s Steve. Thanks for the question. I know your question goes back to the Phase 1 study and we provided an update on this on the Q3 call, where we talked about the variety of expansion cohorts and what the status of those were. And so at that time, as we discussed, we had completed enrollment and a number of the cohorts. The melanoma cohort at that stage was still enrolling and that's data that we will continue to evaluate. But our focus going forward continues to be on exploring the potential for ripretinib or QINLOCK to benefit patients in GIST.
Eun Yang: Okay. So, I guess, we are not going to be expecting data from non-GIST tumors anytime soon, correct?
Steven Hoerter: That's right. Eun, exactly right.
Eun Yang: Okay.
Steven Hoerter: Our focus is on GIST. We'll continue to follow the data that we've collected from the Phase 1 expansion cohorts specifically in melanoma. And we'll update folks on when the time is right. But the focus for development going forward is in GIST.
Eun Yang: Thank you. And then, in terms of second-line GIST so, SUTENT is going to go generic in the U.S. and EU this year and next. So, is there an example or examples that you can share with us when -- where a generic drug does not impact new superior drug in cancer settings?
Steven Hoerter: Yeah. Thanks for the question Eun. So, it’s Steve. I'll take that and then Dan, if you have any additional color you'd like to add, please feel free to jump in. So, as you know, the INTRIGUE study is a head-to-head study, so it's QINLOCK versus Sunitinib. And as we've discussed previously, we would expect that Sunitinib in that study would demonstrate a PFS in the range of five and a half to six months. And we believe that we would need to demonstrate a two to three month improvement over that for the outcome to be clinically meaningful. So, in other words, QINLOCK when you demonstrate a two to three month improvement over Sunitinib for that to be viewed as clinically meaningful. Given that this would be a head-to-head study versus the current standard-of-care, we don't believe that the fact that SUTENT could be going a generic would have any meaningful impact on physician's willingness and interest in using a better treatment option for their patients with GIST. Dan, anything else that you'd add to that?
Daniel Martin: I would just add that when we think about the different stakeholders from physicians, as Steve mentioned, to payers and patients, like Steve said for physicians, but I would also add for payers. Historically speaking, the gold standard has been in assessing different products alternatives has been head-to-head comparison in a large randomized Phase 3 trial. And so, if INTRIGUE is positive, which to our knowledge would be the first and only positive Phase 3 head-to-head study GIST, we believe that puts us in a really good position. And then from a patient, we will continue to do what we always do, which is everything we're permitted to do with -- in line with relevant laws and regulations to prevent costs from being a barrier patient access to QINLOCK. So, overall, we're very confident that irrespective of generic SUTENT that pending INTRIGUE QINLOCK really has a great opportunity to, again, transformed the standard-of-care.
Eun Yang: Thank you. And I have a last question, quick question for Tucker. So, as you anticipate approval in China, would you actually book that approver milestone at once in some -- for second quarter of this year from Zai?
Tucker Kelly: Sure. Thanks for the question. Thanks. Yeah. Thanks for the question. So, I think what we've heard from Zai and their public disclosures, they expecting a potential regulatory decision in the first half. We have not provided any breakdown of the additional clinical or pre-approval milestones that we have into the collaboration agreement. But in the past, certainly, where we have had milestones that have had, we have typically booked those in the quarter in which they were achieved.
Eun Yang: Thank you.
Operator: Thank you. Our next question comes from Andrew Berens from SVB Leerink. You may begin. 
Andrew Berens: Hi. Thanks. Congrats on the quarter. I also have a question on your comments regarding the persistency going forward. Since there's nothing approved in the fifth line, are you seeing patients come off of therapy, because they're going on something else? Or are they dying or are patients staying on therapy beyond progression? Then I have a follow-up on the ULK inhibitor. 
Steven Hoerter: Yeah. Thanks, Andy. Dan, do you want to take that?
Daniel Martin: Sure. Thanks, Andy.
Andrew Berens: Hi.
Daniel Martin: So, as we said recently, it's just a little early to be able to provide color on what we're seeing with persistency. I think we've been what just over two months -- sorry -- two quarters now. And so, the data that we have to evaluate that is still maturing and we've said we understand how important that is to everyone's models and certainly intend to bring some -- bring forward some additional color when we have it. So, as you know, I started talking a bit more in terms of persistency of late, as opposed to average duration of therapy, because persistency, as you know, is the percentage of patients that remain on therapy over time and with any product, some patients come off early and some patients stay on for an extended period. So, we'll just have to see how all that shakes out in a real world setting, given the factors I mentioned before, including mixed by line of therapy and patient performance status and some non-clinical considerations, all of that. So, more to come, as we feel like we -- that data is sort of sufficiently ready for prime time.
Andrew Berens: Okay. But aside from the BID option, are some patients staying on longer even after they progress?
Daniel Martin: That's hard to know because what we see from our side is just whether or not patients getting the product. What we don't see from our side when there is a physician determination of progression. So, that's just really hard for me to answer. And like I said, we'll bring forward additional color on how long patients are staying on therapy as that data matures.
Andrew Berens: Okay. And then on the ULK inhibitor, I was just wondering, are there any concerns about the impact of the drug and the CNS where autophagy is an important part of amino acid homeostasis? I know you guys had a special investor, but I just don't remember whether the drug crosses the blood-brain barrier and if that's a concern or not.
Steven Hoerter: Yeah. Thanks, Andy. It's a great question. Matt, do you want to take that?
Matthew Sherman: Yes. Thanks, Andy for the question. So, yeah, we don't have -- we do not concern so this drug was designed to be a potent selective inhibitor of kinase, but to avoid CNS exposure. So, we look forward to the beginning of the Phase 1 study.
Andrew Berens: Okay. Thanks a lot. Appreciate it.
Operator: And our next question comes from the line of Peter Lawson from Barclays. You may begin.
Peter Lawson: Thank you. Thanks for taking the questions. Maybe a question for Dan. Just a sense of kind of off-label use or the degree of off-label use in GIST.
Daniel Martin: Sure. Thanks. Do you mean with QINLOCK or generally?
Peter Lawson: With QINLOCK.
Daniel Martin: Yeah. So, as we've shared previously, the data that is available to assess use by line of therapy is limited. It's got challenges with it. So, we do our best to triangulate that and estimate that, but it's definitely imperfect data. And what we've said is that a significant majority of the use we believe, we're confident is a fourth-line consistent with our indication, which is, of course, the only way we promote QINLOCK. We've said that there has been some earlier line use, but the significant majority has been fourth-line consistent with our indication.
Peter Lawson: Gotcha. Thank you. And then the ULK inhibitors, the 3116, when can we see the initial data from that? So, I guess, that's for Matt.
Steven Hoerter: Yeah. Hi, Peter. It’s Steve. So, I'll take that. It's a good question. So, as Matt mentioned a little bit earlier, and as we've talked about previously, we don't expect to see a monotherapy activity with the ULK inhibitors. So really what we're trying to drive to as quickly as we can is to get into the combination portion of the study that Matt described in his prepared remarks. So, we don't have specific guidance as to when we might be able to report data. It certainly won't be this year in 2021. But as we have visibility to what the potential signing might be we'll, of course, update investors at that time.
Peter Lawson: Great. Thanks so much. Thanks for taking the questions.
Operator: Thank you. And I will hand the call back over to Steve for his -- I'm sorry about that. Our next question will come from the line of Reni Benjamin from JMP Securities. You may begin.
Reni Benjamin: Hey, good afternoon guys. Thanks for taking the questions and congratulations on the quarter. Maybe just in terms of market penetration, can you maybe just give us a sense, do you have an idea as to how much of the fourth-line market you guys have penetrated? I guess, I'm trying to get a sense of, was it so rapid that it was pretty steep and where kind of the future growth moderating is more because we're hitting closer to plateau or it's -- we came up sort of steep, but then, we still got a decent way to go at least in fourth-line? And then I just have a follow-up.
Steven Hoerter: Yeah. Reni, it’s a good question. Dan, do you want to take that?
Daniel Martin: Sure. Thanks Reni. I think you're -- the first interpretation is consistent with what we intend to communicate. So, the team has just done a fabulous job executing despite the pandemic and as a result, it's rapidly penetrated the fourth-line patient opportunity. By any measure, we're pretty -- it's pretty clear that we've established QINLOCK as the clear standard in the fourth-line now across both academic and community settings. And so that's why -- given that, that's why we've communicated that we anticipate quarter-over-quarter growth to moderate until we're able to reach that next phase of significant growth, that being the second-line setting pending approval.
Reni Benjamin: Got it. That makes sense. And just -- I know I've asked this before. I just want to know if there's any new thinking behind the European launch. From my notes, it's a staggered launch it's likely going to be year-end weighted in terms of hiring the Salesforce and alike. Is that still the case, Steve, or is there more of an active BD effort going on? Have things changed in your thinking as the application has been validated?
Steven Hoerter: Yeah. So it's a great question, Remi. So, as you point out that the NAA has been validated by EMA that occurred last year. And so we're targeting the second half of this year. That's when we believe that the European Medicines Agency could take action on the application. We also announced today that we've now hired Margarida Duarte as Senior Vice President International and Head of -- Head of International. And she is going to now be taking on the role of building the nimble organization or hiring in Europe to be ready for a potential launch across that territory. I think it's important to note, and you alluded to this Remi, that the launch will, of course, be staggered just by virtue of the fact that we have to wait for pricing and reimbursement negotiations to be completed in each and every country where we anticipate launching or introducing the drug. So the territory where we would expect to be launching first is likely to be Germany, where we don't have to go through pricing and reimbursement negotiation, at least initially. But then for the rest of the territories we take Southern Europe, for example, Spain and Italy, we would expect the hiring associated with those territories, as well as the launch to come at some point later, it could be 12 to 18 months after approval, just depending on the pace of those negotiations with the authorities.
Reni Benjamin: Got it. And if you'd let me sneak one in for Tucker. The inventory -- we keep talking about COGS and how it's in material until the inventories used up. When do you think that inventory will be used up? And can you just remind us what the COGS should go to?
Tucker Kelly: Yeah. Thanks, Remi, for answering the question. So, we haven't provided any long-term guidance on what we think the cost of goods will be for QINLOCK. What we said is what we've repeated today, which is that for the moment it remains material and that we think for the balance of the year 2021, that it should remain at a very low level. So, not this year and stay tuned. We'll try and update you as we get more understanding, but when we'll have a larger cost of goods for new product.
Reni Benjamin: Terrific. Thank you very much.
Operator: Thank you. And our last question will come from the line of Robyn Karnauskas with Truist. You may begin.
Robyn Karnauskas: Hi, guys. Thanks again for taking the question and congratulations on the -- all the hard work on the launch. So, two questions. This one first, then maybe a silly one. So, as you continued to touch more doctors in the community setting and the academic setting, and you talked to them about the treatment of GIST. Have you got any supportive for anecdotal data points that support SUTENT second-line PFS of around five to six months? So is it supportive? Does anything anecdotal would be helpful as you're talking to doctors? And the second question on 3116. So Amgen, obviously their carriers could be approved very shortly, and there's a lot of oncology designs that they've been adaptive trial designs, quickly -- quick path to market quick -- quickly being able to see what kind of combinations work best? Have you thought about exploring any adaptive trial design for 3116, given the space is very competitive and there could be certain combinations that work best? Thanks.
Steven Hoerter: Yeah. Thanks, Robyn. It’s Steve. So, let me take the first question and then I'll ask Matt if he'd like to take the second question about 3116, and then your question about combinations or adaptive trial design going forward. So, first with respect to what we would expect to see from SUTENT, nothing's really changed on that front. So, as you know, in the label, the PFS for SUTENT in the second-line is at five to six months. And we -- when we were designing and treat spent a lot of time with investigators and thought leaders, trying to understand what the best estimate was to use for SUTENT -- SUTENT PFS in the second-line setting and all of those thought leaders and investigators all coalesced around six months as being the right estimate to use. So, we haven't learned anything new on that front, certainly not from anecdotal conversations with individual physicians that would change our view that six months is the right estimate to use. And that was the basis for our design then of the INTRIGUE setting. So, Matt, do you want to take the second part of that question about 3116?
Matthew Sherman: Yeah. So, yeah -- so thanks, Robyn. It's a really good question. And so first to start off, we're going to combine 3116 with ULK inhibitor for rebastinib -- inhibitor via rebastinib MAP kinase pathway. And we look for it -- evaluating the data and we'll be able to pick a determination whether or not we can move fast forward to registration. And certainly using a novel adaptive design it gives -- coming to the ability to just expand the current cohorts of patients, perhaps if they see a high level of activity and that's the data that could be brought forward to regulatory authorities. But in addition to there may be other compensation partners that 3116 can be combined with. And we've started to generate some of that data as well, too. So, it could go beyond the MAP kinase pathway in combination.
Robyn Karnauskas: All right. Thank you.
Operator: Thank you. And I'm not showing any further questions at this time. So I'll now turn the call back over to Steve to give any further remarks.
Steven Hoerter: Great. Thanks, Victor. Thanks to all of you for joining us on this afternoon's call and for your continued support of Deciphera. We look forward to keeping you all updated on our continued progress and not only with the QINLOCK launch, but also as the balance of our development programs really come into focus this year and we provide some meaningful further data updates. I hope you all have a great evening. Thanks again.
Operator: Ladies and gentlemen, this concluded today's conference call. Thank you for participating. You may now disconnect.